Operator: Ladies and gentlemen, thank you for standing by and welcome to the China Lodging Group 2013 Q3 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question and answer session. (Operator Instructions) I must advise you that this conference is being recorded today, the 13th of November 2013. I would now like to hand the conference over to your speaker today, Miss Ida Yu. Thank you. Please go ahead.
Ida Yu: Thank you, Regan. Hello, everyone and welcome to our third quarter of 2013 earnings conference call. Joining us today is Mr. Qi Ji, our Founder, Executive Chairman and CEO Mr. Xie Yunhang our COO and Jenny Zhang our CFO and CSO who will elaborate on our company’s development strategy and performance for the third quarter of 2013. Following their prepared remarks, management will be available to answer your questions. Before we continue, please note that the discussion today will include forward-looking statements made under the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in our public filings with the SEC. China Lodging Group does not undertake any obligation to update any forward looking statements, except as required under applicable law. On the call today, we will also mention adjusted financial measures during the discussion of our performance. Reconciliations of those measures to comparable GAAP information can be found in the earnings release that was distributed earlier today. As a reminder, this conference call is being recorded. The webcast of this conference call, as well as the supplementary slide presentation are available on the investor section of China Lodging Group's website at ir.huazhu.com. Now I would like to turn the call over to Mr. Ji who will be speaking in English directly. Qi Ji, please.
Qi Ji: Good morning everyone. Thank you for joining our earnings conference call. During the third quarter we were maintaining our last – momentum during the first half of the year. Net revenue for Q3 increased 28% year-over-year, exceeding the high end of our quarterly budgets by about two percentage points. Net income for Q3 raised by 30% year-over-year. At the end of our third quarter 2013, we had more than 140 in operation, an increase of 40% from a year ago. Our same-hotel RevPAR grew by 1% with the same-hotel ADR increased over 3% in the third consecutive quarter. We are delighted to deliver another strong quarter. We have further fortified our leading position in China hotel industry. Huazhu is becoming a brand and a management company. Our core strengths are to build this and to grow new brands and to manage hotels efficiently through a large platform. With the introduction of managing an upscale resort brand, this company now has six different brands covering economy, mid-scale and up-scale markets. Each of the brands has a unique growth opportunity. With the development of new brands we are continuing to generate Huazhu’s growth in network sales and profits. Move on to the page 5, over the past three years, Huazhu has changed by lease income economic – to an ethical life of the group. We placed our exchanging for new brands in 2013. We expect this to open about eight hotels under the new brands or about a 20% of our total new openings in 2013. Our new brand – accounted for about a 14% of revenues in 2013 compared to 10% two years ago as shown on Page 6. As shown on Page 7, we reduced our reliance on leased hotel – 2013 at the end of third quarter about 58% of our hotels is under manachised model. And we are on Page 8, manachised hotel have become our main growth driver. We expected about 75% hotels opened this year on the manachised model which is higher than 50% in 2011. In this way, we are more resilient to the pressure from cost inflation and the economic surplus. As shown on Page 9, manachised hotels contributed 40% of hotel income in the first nine months of 2013 up from 32% in the same period of 2012. Last, but not the least, I would like to announce the appointment of a Chief Strategy Officer, Ms. Jenny Zhang, on top of her existing role as CFO. As the CFO, Ms. Zhang shall be responsible for developing the company's early-stage brands, and leading other strategic initiatives. With that I will turn the call over to Yunhang, our COO who will walk you through Q3 operational highlights.
Yunhang Xie: [Foreign Language – Chinese] [Interpreted] Thank you, Qi Ji. Good morning everyone. In Q3, as shown on Page 11, we opened 24 net new leased hotels and 98 net new manachised hotels. At the end of Q3, we had 1341 hotels in operation among which 40% were leased hotels, 58% were manachised hotels and the remaining 2% were franchise of Starway Hotels. At the same time, we are pleased to see that, we still have a very strong pipeline that can further fuel our growth with 76 leased hotels and 379 manachised hotels contracted for development. [Foreign Language – Chinese] [Interpreted] As shown on Page 12, in Q3 2013, blended occupancy was 94%, a decrease of three percentage points year-over-year, mainly due to a weak performance this September as a result of the complicated national holiday schedule that has interrupted some business traveling arrangements. ADR was RMB186, an increase of 1.5% year-over-year, mainly attributed to an increase in same-hotel ADR of 3% and partially offset by a gradual decrease in share of our hotels in tier-1 cities with our hotel network extension. As a result, in Q3, RevPAR was RMB175, a decrease of 2% year-over-year. [Foreign Language – Chinese] [Interpreted] Page 13 provides a detailed view of the growth trend of our same-hotel RevPAR for the hotels in operation for at least 18 months. In Q3 2013, our same-hotel RevPAR increased by 1% with 3% increase in ADR and two percentage points decrease in occupancy. The increase in same-hotel ADR was driven by price increase to enhance yields. The decrease in same-hotel occupancy rates was mainly due to disrupted business traveling arrangements as a result of the complicated national holiday schedule in September. With that, I will turn the call over to Jenny, our CFO and CSO who will walk you through our Q3 financial results.
Jenny Zhang: Thank you, Yunhang. Hello everyone. In Q3, 2013 we were delighted to see a continuously strong growth of revenues and a significant improvement in profitability. I will walk you through the details. As shown on Page 15, our Q3 net revenues increased 28% year-over-year, exceeding the high end of our quarterly guidance by 2%. Leased hotels revenue grew 26% and the manachised and franchise hotel revenues grew 48% year-over-year. This quarter, our manachised and franchised hotels revenue reached 12% of our total revenue compared with 11% in this quarter last year. Page 16 shows the adjusted quarterly operating margin which increase by 1.4 percentage points in Q3 of 2013 when compared with a year ago. Our pre-opening expenses as a percentage of net revenues saw a 2.5% decrease due to our enlarged revenue base and our shortened construction cycle. Our SG&A expenses as a percentage of net revenue also decreased by 0.2 percentage points. Due to a decrease, the G&A expenses partially offset by a higher selling and marketing expenses as a percentage of revenues. Our revenue mix shift was higher percentage of higher margin manachised revenues also helped improve our margin to some extent. Most importantly, on the hotel opening management front, our management efforts improved operational efficiency. As shown on Page 15, we shortened the construction cycle by 31 days through a better management of construction preparation, construction period, fire safety certificate and the pre-opening preparation. This has contributed significantly to our reduction in pre-opening expenses. Last but not the least, move on to cash position as shown on Page 18. Our cash balance closed at RMB370 million at the end of the third quarter. We had a credit facility of RMB699 million. For the third quarter, we had a net cash inflow of RMB48 million mainly due to extended revenue base improved profitability and a net cash spent on investments. We believe that our cash balance, our operating cash flow and our available credit facility will be sufficient to fund our expansion plan in the near future. Finally, as shown on Page 18, we expect to achieve net revenues in the range of RMB1095 million and RMB1113 million in the fourth quarter of 2013 representing a 24% to 26% year-over-year growth. Our revenue growth is expected to be around 28.5% to 39% for full year 2013, which is the high end of our annual revenue guidance. With that, let’s open the floor for questions. Operator we are now taking the questions.
Operator: (Operator Instructions) Your first question comes from Lin He from Morgan Stanley. Please ask your question.
Lin He – Morgan Stanley: Hi good morning everyone and thanks for taking my question. A couple of questions, firstly, two questions for Xie Yun. One is the recently announced investments in – Xie Yun can please tell us about what is the rationale behind this investment and what is the expected return or expected benefit for China Lodging from this investment. And the second question is about the new products that you have been developing the JI Hotel, and Hi Inn and other new brands. I want to understand, what is the ability of developing these new hotels and sustainable competitive advantage? In other words, what part of these new brands that you have developed, is easier for you competitive copy and what are the aspects that you think it is for your competitive copy? And the third question from me is, for Jenny, I know – on cash flow statement there is a RMB31 million cash outflow spends on acquisition, can you remind us what acquisition is that? That’s all my questions. Thank you.
Xie Yunhang: [Foreign Language – Chinese] [Interpreted] First of all, these investments were entrenched basically a financial investment. You can see the total value is about RMB100 million and of course, - brand with its value and especially in the restaurant industry, still very much related to the people’s life and which is also the direction for the China’s national direction for development in the future years. As we announced our guidelines from the CPC conference recently, and also the restaurant is also a very major extension of our hotel business. And basically, this is a financial investment and after this investment you can see the highs of – to actually increase. And we consider this is as a one-time transaction.
Xie Yunhang: [Foreign Language – Chinese] [Interpreted] We have introduced quite a few new brands to the market in the past couple of years. I want to emphasize that (Audio Gap) of them; they cover a wide range from how many hotels mid-scale and upscale hotels. Our focus has clearly been the economy hotels and mid-scale hotels which represent the majority of demand in the China markets. For mid-scale hotels, we have two brands, Ji Hotel and Starway Hotels. Ji Hotel is a standardized hotel which represents a series of them and we feel it’s very much welcomed by the mid-class consumers and we are already in the process of rolling out his brand in multiple cities. And the Starway is a more diversified product. We intend to use the Starway brand to consolidate the existing three to four star hotels in the markets. There is a need – various tastes and needs of consumers. And in the economy hotel segment, we introduced Hi Inn which is a lower priced economy hotel compared with HanTing brand. In the market, there is a large supply and also demand for the lower priced small hotels and guest hosted. Hi Inn is designed to consolidate this part of the market and the upper-scale brands like Joya and Manxin are still in the pilot stage. We intend to use manachised models to develop the min the future. The newly introduced Manxin is not a typical resort it has a combination of history culture and natural view into this brand. We believe that through leveraging our management’s ability and the strong marketing platform, we will able to manage upscale hotels successfully in the future. So, it’s notified that we have six brands on the place. Our near term focus is very clear. Our main efforts will still be on HanTing and the Ji Hotels, those two largest brands in our portfolio. As the other brands move forward through their lifecycles, we are going to see them (inaudible) in the coming years. And for the third question, Lin, you asked about the $31 million cash outflow under the acquisitions net of cash received line that we done a small acquisition we made to our hotel chain in – province with a (inaudible) eight leased hotels under this brand and there we have consolidated on to our HanTing Hotels brand mainly.
Operator: Your next question comes from Justin Kwok from Goldman Sachs. Please ask your question.
Justin Kwok – Goldman Sachs: Thanks, Mr. Ji, Jenny and Yunhang thanks for taking my questions. I have three questions. The first one is, indeed a follow-up on your new investment on the strategic initiatives in - . From the investors’ view should they consider this as one-off happened or should we expect more to come in the future when you see opportunities in these consumer market or related to the cooperations? That’s the first question.
Jenny Zhang: As for – that’s our blend of tasks into the restaurant markets. Currently, we don’t have any large-scale entry plan into the restaurant industry. But we want to fill in here in this transaction. We mainly act as a financial investor at the same time we believe by sharing our experience in building brands as well as expanding the network and also introducing more modern management systems to this very well-known restaurant brand, we can add some value to their existing operation. So that’s I think a very unique case for us and this brand, because of its long history and a very wide recognition in the China markets, also it’s a very unique investment opportunity for us.
Justin Kwok – Goldman Sachs: Thanks, my second question is regarding the hotel openings. Looking at the strong delivery this year and also the all-time high pipeline under contracted, what’s the opening target of this year and next year and also do you mind to give a little bit more sense on the brand’s split in terms of how many of them will be in the Starway or in Hi Inns, because it’s been particular for Hi Inns. You also – I think Mr. Ji, also discussed the positioning of the product earlier in the call was that, I think earlier in the year, the management was guiding that they are now reconfiguring the Hi Inn and more focusing on Ji Hotel, but if you look at this quarter, you also opened more than 20 Hi Inns during the quarter. So, have you – have the company already found the right price point on investment mix for the Hi Inn product and do you expect more to come and then a more faster delivery in the coming two years? Thanks.
Jenny Zhang: This year our guidance was to open around 400 hotels. With the number of hotels we have opened so far, we are very likely to exceed that guidance this year. Next year for the opening targets we will communicate in the next earnings call. We believe it will also be above 400 hotels. More specifically to Ji Hotel and Hi Inn, Ji Hotel, we expect next year, we are going to open around 45 to 55 new Ji hotels. When the balance mix between leased and manachised all those. And in the Hi Inn, we have seen a lot of enthusiasm from franchisees this year that has contributed to the acceleration of opening of Hi Inn. So, next year, likely, we are going to open 60 to 80 new Hi Inns in the form of a fairly small – for each hotel and they will primarily be manachised hotels.
Justin Kwok – Goldman Sachs: Okay, thank you. Just my last question is on the RevPAR run rate. On your same-hotel RevPAR, you delivered a 1% improvement year-over-year and also you mentioned that actually during the quarter you see a tougher comp because of the difference in holiday season in September. I just want to get a sense on the – do you seen with how RevPAR if we were to exclude September just looking at July and August, what was the average? And what are you seeing now in October and November? Thanks.
Jenny Zhang: In July, clearly, we have seen a very strong growth trend on leisure travel. In the July and August, the same-hotel RevPAR appreciation is 2% to 3%. And we have seen a similar kind of same-hotel RevPAR appreciation in October.
Operator: Your next question comes from Ella Ji from Oppenheimer. Please ask your question.
Ella Ji – Oppenheimer: Hi, thank you for taking my questions. We noticed that recently there were some HanTing hotels being converted to Seasons or Ji Hotel. I wonder can you talk about – is that’s going on at a larger scale or how many of the conversions is going on right now?
Jenny Zhang: We don’t have – as I just explained and I don’t think we have done this in any large scale. The only one case that are close to that is, a hotel in Shanghai near the (inaudible). Currently, that’s unique location, I think, make up the mind to invest further to operate the brand. Currently, we are not planning to do this in any large scale.
Ella Ji – Oppenheimer: Okay and then you mentioned that you are occurring higher portion of reservation with third-party agencies, what is the exact percentage that you have with third-party agencies now and is this because of the migration to mobile reservation and given that, what do you plan to do going forward to deal with this situation?
Jenny Zhang: During the third quarter, the third-party agencies contributed 7% to 8% of our Group-wide results, which is a record high if you look at the recent quarters. That I think, there are two reasons behind the increase in their contribution. One is probably a long-term factor which relate to our introduction of new brands, especially our mid-scale brands and also our expansion into the lower tier cities. The agencies are helping us to introduce new customers into those new hotels and especially new brands. We have seen them as very valuable supplementary especially in our hotel renting out process. And the second part I think relating to the progressive consolidating program which help them to (inaudible) right now. In the third quarter that was still a dominating factor and that has of course their demand through the OTA become stronger than. We believe now the percentage of OTA going forward will gradually come down from a peak number during the third quarter this year.
Ella Ji – Oppenheimer: Thank you for taking my questions.
Jenny Zhang: Thank you, Ella.
Operator: Your next question comes from the line of Billy Ng from Bank of America Merrill Lynch. Please ask your question.
Billy Ng – Bank of America Merrill Lynch: Hi, good morning. I have two questions. The first one is, can you provide some color – I know, maybe it’s a bit early, but in terms of 2014 outlook, how do you see in terms of the demand RevPAR or – and also do you still see more room for margin expansion by doing more of the improving of the operating efficiency? That’s my first question and I will follow-up with another question. Thanks.
Jenny Zhang: We are still doing this – some more analysis to give us more visibility into 2014. At this time, it’s a passing road, and the people have various speculations around ongoing conference meetings. In general, we have seen the Chinese economy stabilize and we have observed some upticking trends in the third quarter. With this trend, we believe in our RevPAR will also stabilize and also has the potential to show some growth in 2014. Currently, our internal target is around 2% same-hotel RevPAR appreciation in 2014. And our margin expansion would be a more complicated analysis. We will need to balance a few different factors. One is our renting up hotels, we have introduced quite a large number of Ji Hotels recently and it is planned to also introduce more going forward. And a Ji Hotel would take a longer period to ramp up. So that will give us some pressure on the leased hotel margin and of course we also face the cost inflation on the negative side. On the other hand in general our number of mature hotels as a percentage of total portfolio is increasing and our contribution from the manachised hotel is also increasing. So we are yet to analyze and to see where the blended margin number will come up. We expect to provide a more specific guidance in next quarter’s earnings release.
Billy Ng – Bank of America Merrill Lynch: Thanks. And my second question is that, I think you mentioned one of the slides in the presentation as - currently almost 40% of the income coming from the manachised hotel. I just want to go through like, how do we calculate that. So I just wonder in terms of the fixed cost allocation what kind of assumption, let’s say for example, when we look at the cost – how do we allocate the cost between the manachised and the leased and operated hotel to come up with the 40% contribution of the manachised hotel to the overall profitability.
Jenny Zhang: Currently, the hotel income calculation does not involve any allocation of shared cost. It’s typically revenues then that is the direct costs. In the case of leased hotel which is up to other hotel level, direct expenses and for manufactured we deduct the direct expense such as General Manager payroll and that’s how we account to the hotel income. Costs such as call center as well as the development team which are – some in our IT platform, those share – parts are included in SG&A, which is not allocated at the hotel income level yet.
Billy Ng – Bank of America Merrill Lynch: Okay, understand, thanks a lot.
Jenny Zhang: You are welcome.
Operator: Your next question comes from Long Lin from Brean Capital. Please ask your question.
Long Lin - Brean Capital: Hi, good morning. Thank you for taking my questions. My question is regarding the competition of manachised or franchised hotel. With your competitors have also increasingly shifted to open more franchised hotels, I am just wondering how the competition has changed here? Like what are the HanTing’s competitors advantage in attracting new franchisees? Also I guess, given a softer macro environment have franchisees changed their investment objectives in terms of cost and returns, like if they ask for any reduce the fees to maintain returns, you also mentioned like, you see like a strong demand in Hi Inn hotels from franchisees, so what’s the reason behind that, like any insights will be very helpful. Thank you.
Jenny Zhang: I will ask Yunhang to answer this question. Let me translate for him first. [Foreign language] [Interpreted] Let me translate, I think we have a clear competitive advantage in attracting franchisees. There are mainly two aspects of it. One is our advantage in getting higher returns higher profits for the franchisees. Two, our management platform and the strong brands and the other is a sophisticated supporting system. It starts from a wide coverage of communication platform together with existing and potential franchisees. We have individual coverage by territory and we also have geological promotion of conferences to communicate to various franchisees. And the still early stage of early franchisees construction here is, we have a sophisticated supporting team that not only providing onsite inspection and support, but also provides attracting systems to our key platforms. And during the daily operation, we have both onsite GM to run the operation and the headquarter platform in operation, IT and marketing, new management to support the operation. So those – we have built a strong awareness as well as a good reputation in both aspects. And relating to your question on the fees, our principle in the management business is to do sustainable relationship between us and the franchisees. So what we have done in the past years is we are providing more in-depth services to generate more value for the franchisees, such as the enhancing the e-booking to the rolling out of mobile application and that we are also planning to package the IT services to reduce the IT cost of our franchisees. On the financial side, you are seeing by providing more services, we actually manifest these by seeing stabilized and slightly increase and so we are generating more value for the franchisees thus increasing the loyalty of the franchisees to us. We haven’t seen any price decrease of average basis. And so, we are not under the price competition in the manachised markets. And related to your first question on Hi Inn, I think this brand is critically attractive to small investors because of the small size of the Hi Inn as well as the lower CapEx per room, shorter conversion periods, this has become quite popular for people only having a few million doing that.
Long Lin - Brean Capital: Okay, thank you very much. So can I follow-up on that? So, what’s the average return for franchisees in HanTing compared to other competitors?
Jenny Zhang: Currently, we don’t have comparable numbers, publicly available in the markets. In general it is the majority of our franchisees are seeing a return somewhere between 15% to 25%.
Long Lin - Brean Capital: Okay, thank you very much. That’s all my questions.
Jenny Zhang: You are welcome.
Operator: Your next question comes from Cyrus Ng from Deutsche Bank. Please ask your question.
Cyrus Ng - Deutsche Bank: Hi, thanks for taking my call. I think just two quick questions. The first question would be on your upscale hotel range and I think it might be too early to ask but, I just wonder if management have any operating plan for the Joya and Manxin the new managing plan. When will the first is allocated to open and the second question would be on the Ji Hotel and HanTing Hotel.
Jenny Zhang: Excuse me.
Cyrus Ng - Deutsche Bank: Just wonder what is the number of hotels and your operations as of end of the first quarter for these two hotel brands?
Jenny Zhang: I have to apologize. I cannot hear you very clearly. Could you raise your volume a little bit.
Cyrus Ng - Deutsche Bank: Yes. Okay, my first question will be on the opening timeline for the upscale hotels Joya and Manxin and when would the first one be likely to open likely for these hotel brands? And also for the second question will be – just wonder, in terms of operations as of first quarter for Ji Hotel and also the HanTing Hotel?
Jenny Zhang: The first question about the opening time of the Joya Hotel?
Cyrus Ng - Deutsche Bank: Yes and the Manxin.
Jenny Zhang: Okay, we expect that to be opened at the end of this year or early next year, it’s already at the final stage of construction. And the second question was about Ji Hotel and the Hi Inns operation results in the third quarter, did I get it right?
Cyrus Ng - Deutsche Bank: Yes, it’s Ji Hotel and the HanTing Hotel, I just want to have a sense of what is the number of hotels in operation as of – let’s say third quarter?
Jenny Zhang: Okay, at the end of the third quarter, we had 56 Ji Hotels, 1165 HanTing Hotels and 72 Hi Inn in operation.
Cyrus Ng - Deutsche Bank: Okay, okay. Thank you, thanks a lot.
Jenny Zhang: You are welcome.
Operator: Your next question comes from the line of (inaudible). Please ask your question.
Unidentified Analyst: Yes, hi, good morning. Two questions. First question relates to the results, can you just help me understand what has been the reason for the decline in SG&A on a quarterly basis? That will be the first question. The second question is a more bigger picture in nature, I just want to understand how the shift to more leisure travel is impacting your strategy in terms of brand or formats openings strategy as well as your expansion into lower tier CTEs? How is the overall change in travel preference impacting the strategies along these two parameters? Thank you
Jenny Zhang: The SG&A decline as a percentage of revenue is mainly driven by economies of scale. For example, our teams we don’t need to be expanded as much as their revenue growth and that we also achieved higher efficiency each year through a process re-engineering in those new strategic functions such as HR and Finance. So, that has largely contributed to our reduction in SG&A as a percentage of revenues. Also on the selling side, in general, we are moving towards more bookings through the application, the mobile application as well as internet. So our size of the call center has been more or stabilized in the recent. So that’s also contributing to the decline in the selling expense. And of course, the government’s reduction in the private card fees is another specific reason for this year. On your second question, the shift towards leisure travel, I think it’s a need – in the market. We have seen that (inaudible) for representing a more mixed balance in our customer sourced for our lead brand HanTing Hotels. We are seeing more leisure travelers appearing in our hotels. And the concentration of leisure travel in particular season has created new expansion opportunities for us. So, that’s why we are seeing higher price particularly in July and August. And in combination with the leisure travel world we also have seen a clear – kind of moving up of the business travelers that has presented a very good opportunity for our mid-scale brand. Relating to the lower tier cities, we have – that needs to be analyzed with more in-depth. First of all for – frequently traveled cities like Ninjang, we see a unique opportunity to introduce vacation time-pass products like (inaudible) and that we also see our HanTing Hotels entering into a lot of those frequently visited tourism destinations like (inaudible). So this definitely expands our extent of coverage in our hotel network. That will also beneath the trend of fast-growing leisure travel will continue in many years to come.
Operator: Your next question comes from (inaudible). Please ask your question. Your line is now open, if you would like to ask your question?
Unidentified Analyst: Yes, hi, sorry. Good morning management. Congratulations on the results. I have three questions here. Number with regarding the income contribution from manachised hotels, so it has reached 40% in the first nine months this year. I wonder going forward, has management done any internal calculation regarding where this ratio could go in one or two years’ time? That’s my first question.
Jenny Zhang: We don’t have guidance for this number in the coming years, yes, but clearly, their contribution to the overall income will increase, because, close to 80% of our new hotels opened are going to be under the form of manachised.
Unidentified Analyst: Yes, so, maybe put it another way like from last year to this year the portion of income from manachised has increased by eight percentage points. So, going forward, should we expect this ratio to continue to grow at this speed or like it might slow down a little bit in terms of the growth rate?
Jenny Zhang: No, we just provide a more specific guidance for 2014 in our next quarter earnings call. We will bear in mind and provide more insight into this respective.
Unidentified Analyst: Okay, thank you and then I’ve got two questions related to Ji Hotels. So, number one is, whether management could breakdown the HanTing Hotel’s same-hotel RevPAR trend versus Ji Hotel’s same-hotel RevPAR trend in third quarter?
Jenny Zhang: This year, the general trend between Ji Hotel and HanTing Hotel has been similar.
Unidentified Analyst: Okay, and then the final regarding, I think, Jenny you just mentioned that, for Ji Hotel, it takes a longer ramp up period before reaching the maturity level. So, I wonder after Ji Hotel also become mature, how does your EBITDA margin of Ji Hotel versus at least the HanTing Hotel?
Jenny Zhang: Historically, the Ji Hotel has a slightly higher EBITDA margin compared with our HanTing Hotels. Whether it’s duly rolled out form we are here to confirm once they reach the maturity of that. So, this new batch opened in this year and the late last year comes to maturity we will provide more data to everyone. And finally, we have decided to provide more by brand data starting from next quarter such as RevPAR, occupancy information so as to help you know the investors understand better how each brand has been evolving.
Unidentified Analyst: Okay, that will be helpful. Thank you.
Jenny Zhang: Thank you.
Operator: There are no further questions at this time, please continue.
Jenny Zhang: Okay, with that, let’s conclude the call. I would like to make sure – be aware that a few upcoming lodging investor events. We will participate in Morgan Annual Asia-Pacific Summit in Singapore on November 14 to 15 and the Present at CICC Investment Forum in Beijing on December 3rd to 4th, as well as Deutsche Bank Annual DB Access China Conference in Beijing on January 13 to 14 next year. Interested parties, please contact us at ir@huazhu.com. Once again, thank you to everyone for making time for your busy schedule to join our call today. We look forward to talking to you in the next quarter earnings call. Good bye everyone.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating you may all disconnect.